Operator: Good morning, ladies and gentlemen, and welcome to the Paya Holdings Inc., Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Mr. Matt Humphries, Head of Investor Relations at Paya. You may begin.
Matt Humphries: Good morning and welcome to the Paya Fourth Quarter and Full-Year 2021 Earnings Conference Call. Before we begin, let me remind everyone that today's discussion will contain forward-looking statements based on our current assumptions, expectations, and beliefs, including financial guidance, the growth of Paya's business, our objectives and business strategies as well as other forward-looking statements. Please refer to the disclosure at the end of the company's earnings press release and Form 8-K filed with the SEC today for information about forward-looking statements that will be made or discussed on this call. All statements made today reflect our current expectations only, and we undertake no obligation to update any statements to reflect the events that will occur after this call. You can learn more about the specific risk factors that could cause our actual results to differ materially from today's discussion in the risk factors section of the company's 10-K, which we expect to file with the SEC in March 2022.And in additional periodic reports that the company files with the SEC. Also during this call, we will discuss certain non-GAAP measures of our performance. GAAP to non-GAAP financial reconciliations and supplemental financial information are provided in the earnings press release and the Form 8-K filed with the SEC. This call is also available via webcast. You can find all the information I have just described on the Investor Relations section of Paya's website, including a supplemental Fourth-Quarter 2021 earnings presentation. Now, joining us on the call today are Paya's, Chief Executive Officer, Jeff Hack, and Chief Financial Officer Glenn Renzulli. Following their remarks, we will open the call to your questions. With that, let me turn the call over to Jeff.
Jeff Hack: Thank you, Matt, and good morning, everyone. Thanks for joining us today as we review Paya's fourth-quarter and full-year 2021 financial results and expand upon some exciting recent announcements that accompany our strong financial results. At the conclusion of my remarks, Glenn will provide further details on Paya's financial performance, as well as our 2022 financial guidance. Paya reported strong financial results in the fourth quarter, led by our integrated solutions and ACH businesses. The continued strong pace of the secular shift in buyer behavior to software-led commerce solutions, coupled with the ongoing digital transformation occurring across middle market businesses, provides an excellent environment for Paya to continue to capitalize on these opportunities via our existing products and solutions combined with our innovation roadmap. Specifically, in the fourth-quarter, Paya's payment volume grew 27% to nearly $12 billion driven by card volume growth of 16% and ACH volume growth of 46%. Total revenue grew 24% to a record $67 million led by integrated solutions with continued strength in our ACH offerings. Gross profit grew 27% to $35 million and adjusted EBITDA grew 18% to $17.3 million. Compared to the same period in 2019, total revenue growth was 31% and adjusted EBITDA grew 38%. Our 2021 full-year results were equally strong, with volume growth of 29% to a record $43 billion. Total revenue growth of 21% to $249 million and adjusted EBITDA growth of 23%. These accomplishments reinforce our enthusiasm to continue to deliver superior financial results over time through the disciplined execution of our strategy and capital allocation decisions. Simply said, we continue to execute on a thoughtful combination of three strategic levers. First, internal investments in organic growth. Second, strategic partnerships and third, acquisitions. Importantly, we pursue all three levers enthusiastically. And the relative weight of these three levers will continue to be dynamic based upon where we achieved the greatest impact. I will now cover recent progress on each of these growth levers. Our organic focus is on ensuring we have the right people and right solutions in place while continuing to deliver profitable growth. As such, we're accelerating our innovation road map through new tools, features, and functionality, especially within our B2B and government verticals to meet the ever-growing needs of our partners and clients while extending our competitive positioning. The acceleration and the expansion of our go-to-market strategy is also a priority, which enables us to drive further penetration while attracting new partners. The opportunity to further penetrate existing clients while also winning new ones has never looked more promising. And we will pursue this growth lever aggressively, ensuring our teams have all the resources they need to win. Importantly, the continuing ability to attract exceptional talent to Paya further reinforces our confidence and enthusiasm. Paya's pipeline of actionable opportunities continues to grow and we've seen some great new wins, specifically in the fourth quarter in our government vertical, we signed one of the largest water infrastructure service providers in the country, where we will serve as the primary commerce engine to their 4 million customers spread across 19 states. Another example is a new ISV partnership with a leading software provider in the not-for-profit and government verticals. Our ability as a single solution provider offering Omni -channel and payment agnostic solutions across multiple verticals were key to our success in signing this partner. Their needs closely paralleled our strategy of delivering vertically tailored, customer - centric integrated payment solutions to partners across the middle market. And finally, in our ACH business, we continue to see success signing new partners who are looking for additional payment capabilities, particularly for larger ticket transactions and in cross selling into our existing base of customers. We're excited about the continued opportunities we see for our ACH business going forward and we'll pursue these enthusiastically. As PAYA grows organically, as well as through the integration of great businesses we have acquired, we continuously refine our overall brand positioning and strategy. Our solution footprint. And of course, the customer experience. As such, we recently announced that in our government vertical, we have consolidated our existing government capabilities, our domain experts, and our first billing and payment group brands into a single unified experience called PAYA Gov. Through the end of 2021, our government business served over 2,000 government agencies in municipalities across 24 states while processing over 8 million payments per year. As part of this strategic alignment, we are able to pursue the government opportunity with a much more targeted and efficient strategy, strengthening our capability to capture a strong share of the growth we see here. Paya focus is heavily on continuing to extend our value-added solutions in support of our existing partners and clients by understanding both current and future needs. As part of these efforts, we recently announced a new business partnership with Tran card, a global leader in payment technology solutions for financial institutions, fintechs, and businesses. This new partnerships substantially expands our B2B commerce solutions suite, offering a fully integrated accounts payable module and supplier network delivered through a single API, and a single portal to customers. Coupled with Paya's existing accounts receivable solutions, this new partnership allows Paya to become in effect a one-stop shop with a fully integrated AR and AP offering. This partnership serves to strengthen our value proposition, while further enabling our customers to succeed and unlock their growth potential. And finally on M&A, we're focused on a range of inorganic opportunities that complement Paya's organic growth. We remain optimistic on opportunities to layer in inorganic growth and want to remind you that we remain disciplined buyers, ensuring that acquisitions meet our strategic and financial criteria. Our recent acquisition of VelocIT is an example of this, where we acquired a strategic capability, which extended our competitive positioning. Specifically, VelocIT provides fully integrated Omni -channel payment solutions to accounting and ERP partners, including Acumatica and Sage. The acquisition brings market-leading and proprietary technology, exceptional talent, and strong integration experience and expertise, allowing us to further enrich the value proposition of our ERP offerings within the B2B market. Paya's ability to execute strategic M&A combined with the opportunities we see to invest organically, and a very strong balance sheet and cash flow generation has underpinned our decision-making for 2022. Where appropriate, this means accelerating key product innovation and expanding our go-to-market strategy at a very attractive ROI with incremental capital, instead of purchasing a capability for multiples of that. These growth initiatives combined with the ability to partner with market leaders gives us both the confidence in flexibility to advance our growth agenda while consistently delivering profitable growth. With that, I'll turn it over to Glenn to walk you through the financials in a bit more detail. Glenn?
Glenn Renzulli: Thanks, Jeff. And good morning, everyone. As Jeff mentioned earlier, we had a strong fourth quarter to close out 2021. Our integrated solutions and ACH offerings continue to be the lead drivers of our growth, and we expect this trend to continue into 2022 and beyond. Total payment volume in the fourth quarter was $11.7 billion, an increase of 27% year-over-year, which brings our full-year volume to nearly $43 billion up 29% versus 2020. In the quarter, card volume grew 16% ACH volume grew 46% with ACH transactions up 22%. Our B2B and not-for-profit verticals, where the larger drivers of volume growth this quarter. For the fourth quarter, total revenue was $67.1 million, an increase of 24% versus last year. Integrated Solutions revenue was $43.1 million up 33% led by the strength in our B2B and not for profit verticals. Payment services revenue was $24 million up 11% year-over-year with ACH revenue growing 21%. For the full year, total revenue was up 21% to $249.4 million. Integrated solutions revenue grew 27% to $155.2 million and payment services revenue grew 13% to $94.2 million. In the fourth quarter, integrated solutions revenue as a percentage of total revenue stood at 64% and ACH at 14%. Taken together, these higher-growth businesses represent nearly 80% of total revenue. And considering just earlier comments about market trends, we expect this to increase over the coming years. Gross profit in the fourth quarter was $34.7 million, up 27% year-over-year with gross margin of 51.7%, expanding a 130 basis points from the prior year. Integrated solutions gross profit of $22.2 million was up 28% with a 51.5% gross margin. Payment services gross profit was $12.5 million up 25% with a 52% gross margin. For the full year, gross profit was a $130.1 million, up 25% with gross margin of 52.2%, up 180 basis points versus last year. Integrated solutions gross profit was up 25% at $81.7 million, with a 52.6% gross margin, and payment services gross profit of $48.4 million was up 25% with a gross margin of 51.4%. We saw some modest decline in gross margin in integrated solutions for full year 2021, primarily due to our acquisition of Paragon. In payment services, we continue to see gross margin expansion led by the growth in our ACH business, which is running near 60% gross margin. Adjusted operating expenses were $17.4 million for the fourth quarter and $64.9 million for the full year. Both higher versus prior year as we layered in our Paragon acquisition along with incremental public company [Indiscernible]. Adjusted EBITDA in the quarter was $17.3 million, up 18% versus the prior year. For the full year, adjusted EBITDA was $65.2 million, up 23%, and adjusted EBITDA margin was up 40 basis points to 26.1%. We've talked previously about the acceleration of certain targeted investments into the business to drive further growth. In the quarter, we pulled forward some of these initiatives, given the performance of the business, as well as opportunities we see in front of us in key markets to extend our competitive positioning and to broaden our capabilities. As Jeff mentioned, we're continuing to do so in 2022 as we accelerate investment into our go-to-market strategy to further elevate our brand while increasing engagement across both our existing and potential new partners. We're also scaling our innovation efforts internally with additional product and technology spend as we seek to expand and enhance our market-leading commerce solutions. GAAP net income for the quarter was $2 million versus net loss of $2.1 million in the prior year. Earnings per share was $0.02 in the quarter. Adjusted net income for the quarter was $11.9 million with adjusted EPS of $0.09. For the full year, we reported a GAAP net loss of $3.1 million and adjusted net income of $40.3 million. GAAP loss per share was $0.02 and adjusted EPS was $0.32 for the year. Net cash provided by operating activities for the full year was $37 million. Our share account at the end of the fourth quarter was a $132.1 million diluted shares outstanding, inclusive of approximately $5.7 million earn-out shares that have not yet met issuance thresholds. You can reference an illustrative walk through of our share account in our earnings presentation. Regarding our balance sheet, at the end of the year, we had a $147 million in cash and $249 million of gross debt, with a net leverage ratio slightly below 1.6 times. Subsequent to the end of the fourth quarter, we paid $6 million in cash for the acquisition of Velocity, funded from the balance sheet. Now, let's turn to our full year 2022 guidance. As a reminder, these targets exclude any incremental M&A we may execute for the balance of 2022 and only include acquisitions we have previously announced and closed. For 2022, we are targeting total revenue in a range of $275 million to $283 million representing year-over-year growth of 10.3% to 13.5%. Our gross margin expectations are 51.5% to 52%. And finally, our adjusted EBITDA targets are in a range of $72 million to $74 million. As discussed for 2022, we are planning on investing incremental capital towards certain strategic products and tech investments while allocating more dollars to Paya's go-to-market efforts. These investments are the primary driver of our adjusted EBITDA expectations for 2022 and represent approximately $4 million of incremental and discretionary operating expenses. We're also expecting a slight EBITDA headwind from the acquisition of VelocIT for the full-year 2022 as we integrate and optimize the business for proper long-term success. Over the past few years, we've consistently been able to accelerate our top line growth while also expanding margin by a 100 to 200 basis points per year. Given this track record and the opportunities in front of us, we felt it was a responsible decision to sacrifice a point of margin growth in the near-term to accelerate our organic initiatives and enhance our growth trajectory over the median term. That concludes my prepared remarks this morning. I'll turn the call back over to Jeff to close up the call. Jeff.
Jeff Hack: Thank you, Glenn. We are very proud of both the financial and non-financial performance in our first year as a public company. This was a result of the tremendous efforts of our talented employees, and the dedication from our partners. The combination of organic initiatives, strategic partnerships, and acquisitions all contribute to accelerating our growth. The investments we are making today build upon what we've accomplished so far and underpin our tremendous enthusiasm to continue to take Paya to even greater heights. With that, Operator we're ready to take questions.
Operator: Thank you. [Operator Instructions] Please stand by while we compile the Q&A roster. Our first question comes from the line of Bob Napoli of William Blair. Your line is open.
Bob Napoli: Good morning, Jeff and Glenn. Nice job on the quarter and on the year. I guess just on the outlook, just to dig a little deeper into some of the comments that you guys made on the accelerating go-to-market and investing more in the innovation roadmap. What exactly are you doing on both of those fronts? And what are you doing on go-to-market? Are you doing something different on go-to-market? And add some color on innovation roadmap would be really helpful.
Jeff Hack: Hey, good morning, Bob. It's Jeff. Thanks for the question. So two parts to that. Different, no; accelerated, yes. So think of it this way, there's three component parts. One is accelerating portions of the product intact road map, which is not a new set of initiatives, but simply having the horsepower to speed some of that important work up. The second is on go-to-market and sales. And in particular, additional -- what we call technical sales support. So we like our hunter and farmer setup, but adding more technical support to those teams improves success and also speed to revenue. And then, third is marketing. And as we continue to work on improve strong ROI initiatives, we see the opportunities to dial that up modestly as well.
Bob Napoli: Okay. Thank you. And then I guess on maybe some color on how business trended through the quarter and into January, February. And as we think about 2022, when your payment volume was up 27% in the fourth quarter, I know you have some tougher comps with ACH coming earlier this year in 2022 so just any color through the quarter. And then, if you could also relative to the take rate, is there -- I think your revenue retention was actually up on the year. Is there any -- anything different on any -- to your view on the take rate? I think it was 57 basis points for the revenue yield versus 59 a year ago.
Glenn Renzulli: Hey, Bob, this is Glenn. Thanks for the question.
Bob Napoli: Thank you.
Glenn Renzulli: Yeah. No, good questions. As far as the quarter to the volume trends I'll take that one first and then speak a little bit on take rate and retention. For the quarter, we saw a little bit of acceleration as we ended Q4. So that's really the reason we came in a little higher on the revenue side, we saw a good finish to the quarter. So we were excited about that. And we've seen good follow-through. I mean, we never like to call a quarter too early. We've got another month left, but we haven't seen any negative trends. Let's put it that way. In the first two months of the year. So that's an positive to see. Obviously, a lot of macro items going on at the moment. So we're monitoring that and want to make sure we're not getting ahead of ourselves from a guidance perspective either. And then for the question around retention and yield, yes. Look, we continue to see pricing power on the card side. So our -- even though our headline yield is down on a year-over-year basis, right in Q4. It's down one point less, right? So we are -- first point would be that distortion from ACH is lessening and you're going to see less of an impact in 2022 here. So the card strength will stick out a little bit more as you look into 2022, as far as yield and pricing. And we were up sequentially on car yield and up on a year-over-year basis as well. And then from a retention standpoint, we saw a great year on retention both on the volume side and you see in our 100% net volume retention that's -- it was actually above that this year in 2021. So we're given the approximate 100%, but we outperformed that number this year on a volume basis. And then with pricing and pricing power on the card side, we saw a net lift from a net revenue retention perspective. So really a good year in that regard. And you know what, we could hope to see that continue this year. I think we have all the reason to believe it will from both the pricing and from a retention standpoint.
Operator: Thank you. Our next question comes from Chris Zhang of Credit Suisse. Your line is open.
Chris Zhang: Hi, good morning, Jeff and Glenn. This is Chris Zhang for Tim Chiodo from Credit Suisse. One [Indiscernible] question about the longer-term top-line and the EBITDA growth outlook and especially in a context with the 2022 guide. I understand there's some new investment, especially in the near-term impacting the 2022 margin. But are you guys talk about maybe the return to the longer-term outlook and particularly the 20% plus EBITDA growth longer term. And then I have a minor follow-up.
Jeff Hack: Great. Thanks, Chris. This is Jeff. To the first part of your question, we are not changing our medium-term objectives. If you look at the performance of the business over the prior periods, you will see that many of those periods are in fact ahead of the medium-term objectives. And as we have consistently said all along, it's not a straight line from any given point in time to the medium-term objective. And so we feel very good about the decisions we are making in 2022 to ensure that we can meet and then hopefully potentially exceed those medium-term objectives over time.
Chris Zhang: I appreciate and I think in terms of the recent announcement of the AP solutions that's definitely a very exciting development and stuff and probably builds as a time expensive opportunity. How would you factored that into the longer-term outlook or maybe your medium-term outlook? Thank you.
Jeff Hack: Yeah, so let me take that in two parts. First of all, we are very excited about this partnership. We were very thoughtful about how we wanted to combine Paya's AR capabilities with industry-leading AP capabilities and very pleased with the partner that we have done that with. In terms of speed and overall trajectory, it's simply too soon to know, but we see it as significant, exciting, and very relevant. And the initial -- this is just the initial introduction is you all are familiar with our strong roster of ERP partners and our installed base, many of whom want or need the API capabilities as well. And they are far more attractive on a bundled basis than ala Carte. So very pleased and excited, but too early to add color as to how much of our growth from here it will drive.
Chris Zhang: Okay. That's very helpful. Thank you very much, Jeff, for the color.
Operator: Thank you. Our next question comes from John Davis of Raymond James. Please go ahead.
John Davis: Thanks. Good morning guys. Jeff and Glenn, I really want to focus for a minute on free cash flow and the balance sheet. You guys have an extremely healthy balance sheet to say the least. Just want to talk a little bit of capital allocation. Jeff, I hear you on the organic investments that you're making, but maybe you could comment on the M&A environment. And then what the plan is to do as you just continue to accumulate cash. I think stock buybacks given the liquidity here are tough. So just maybe thoughts on what to do with the cash flow here and thoughts on the current M&A environment.
Jeff Hack: Great, thanks. Great question. This is Jeff again. I'll start and then Glenn can pick it up. So first of all, we are very pleased to continue to have a very strong balance sheet. Thank you for pointing that out. Our capital allocation priorities have not changed from the first time we started talking with all of you over a year-and-a-half ago. So we will continue to invest in the organic growth of the business wherever we see high ROI opportunities. We complement that with the M&A agenda. I think you asked about the M&A pipeline and I would say two things. One, we continue to work a range of opportunities early, middle and late stage in varying sizes. We are disciplined buyers. I know that folks often ask about that, but we believe that we will see very -- continue to see attractive and accretive ways to deploy the capital that we naturally generate in the business. And in that regard, we don't see that changing anytime soon. Anything to add?
Glenn Renzulli: Sure. Yes. This is Glenn, obviously good free cash flow for the year at operating cash flow of $37 million, that should continue to grow as we look forward, it's really good part about our business; right? We can translate the profitability down to cash. We're into the year, run 150 million of cash in the balance sheet and below 1.6 on the leverage ratio, net leverage ratio. So really puts us in a strong position to go deploy some of that capital where we see opportunity, right? So obviously the market seen a pullback in the private markets are always a little bit delayed in that, but we hope to see some value come here this year in 2022 and more will be aggressive deploying that where we see those opportunities. And then obviously with the share price we think in a depressed area, right? We'll always look at that as well and see if there's any need for to do something about that with our cash as well. But at this point in time, we're really focused on running the business organically and then looking for M&A opportunities. And I think we're in a very good position to go deploy that capital when we see a good opportunity.
John Davis: Okay. I'm not trying to pin you down, what is -- is it fair to say that if evaluations come in or at least the private markets catch up with the public markets we expect you to be more active this year than you have been since you completed the spec process?
Glenn Renzulli: Yes, look --
Jeff Hack: Yes, the way --
Glenn Renzulli: Go ahead, Jeff.
Jeff Hack: Sorry. I was going to say that would certainly be our objective. But as you know, we don't dictate the market conditions. And we continue to work opportunities very enthusiastically. But that's about as far as we could say. Glenn, sorry, I cut you off.
Glenn Renzulli: No, it's exactly right. And look, I think the discipline treating us okay this year and hopefully we want to go deploy that capital rate, but we're going to continue to be disciplined to make sure we do it -- use it for the right opportunities, but we're hopeful and we have a good funnel of opportunities out there that we continue to work. And we'll continue down that path.
John Davis: Okay. Great. Thanks. And then just wanted to quickly hit on the EBITDA margin, call it flattish this year. Maybe talk through historically, your mid-term guidance there's not a point in time one year to the next, but just help us think about the incremental investments this year. And generally speaking, you have operating leverage of 50 plus basis points a year on the EBITDA line, sometimes even closer to a 100. So just, is that the right way to think about as the investments this year or call it 50 to a 100 basis points of margin, just trying to think about the longer-term algo here, recognizing you're investing a little bit more in '22.
Jeff Hack: Let me start and tell you how -- let me start with how we think about it and then Glenn can come in and augment that. First of all, we don't start with a margin objective and we've said that to you all from the get-go. We start with what are the right investments to drive maximum profitable growth in the business and the margin at any given point in time is a byproduct of those decisions. As you pointed out, if you look back at this company over the past handful of years, you see up in a 100 or even higher percent growth in margin year-on-year, sometimes as much as 200 basis points which is great. But we manage this company for maximum profitable growth in the medium-term and therefore, to have flat margins for one year per the guidance to us is a fine result of the business decisions that produced that outcome. I think implied in your question is the persistence of those investments. And I would say two things. One is, the better they perform, the more enthusiastic we will be, and vice versa, of course. But to your broader question, we continue to feel very good about the continued margin expansion of this business as a byproduct of the top-line growth rates we achieve and the investments we make in the business.
John Davis: I appreciate the color. Thanks, guys.
Operator: Thank you. Our next question comes from Peter Heckmann of Davidson. Your question, please.
Peter Heckmann: Good morning, gentlemen. Just a couple of questions on the fourth quarter and the outlook. In the quarter itself were acquisitions contributing somewhere around $3 million in revenue?
Glenn Renzulli: Yes, I'll Just hit it on the organic growth side. So our organic growth for the quarter was up 17% year-over-year for Q4, up 17%.
Peter Heckmann: Great. And then just thinking about VelocIT looks like a relatively small deal but there's maybe $3 million in annual revenue there.
Glenn Renzulli: Yeah not even, that's a good question. And it's -- it's sub $2 million at this point, so minimal inorganic contribution this year. We're very excited about the transaction and the potential on the technology it gives us though. So we think it's going to really lift off pretty quickly, but pretty -- size-wise, pretty small contribution this year, sub $2 million. And then also tied to the profitability side, this is the lead driver, but it also has a little bit of a headwind on the bottom line as well.
Peter Heckmann: Right. Right. Okay. And then just as you're lapping that big ACH win from the fourth quarter of 2020, how do you think about that outlook? Do you still think ACH will grow faster than the corporate average?
Glenn Renzulli: Yeah. Good question. So ACH is still a great grower for us. Obviously, we have the outsized growth this year driven by the deal, that larger deal. But we'll still continue to see good growth there. We look at it as a low double-digit grower, right? So it should settle in somewhere around there, moving forward. And we have a lot of good opportunities there. And even with the larger partner, we continue to see opportunity to have some additional incremental revenue with them as well. So still will be a great story for us and a good driver of the performance in 2022.
Peter Heckmann: Good deal. Thank you.
Operator: Thank you. Our next question comes from David Togut of Evercore ISI. Your line is open. David, please make sure your line isn't muted even a speakerphone of your handset. We'll go to the next question. It comes from Andrew Jeffrey of Truist. Your line is open.
Gus Gala: Hey. This is Gus, stepping on for Andrew. Just want to talk a little bit more about the B2B side of things. Could you talk to us about the average transaction size. Is that moving up or down? And is there any call outs in terms of vertical markets there?
Glenn Renzulli: Yeah. Happy to take that. This is Glenn. On the average transaction side, yes, we saw a good year for average ticket growth. Right. Obviously, tied to the inflationary environment that's out there, so good growth. Think organically for our customers, but then the inflationary component does have a positive impact on us. So the average ticket was up both on card and ACH for the year and overall, obviously. And then yes, from a vertical perspective, B2B continues to be strong and performing even into 2022 year. Early part of the year and we continue to see that as the large -- one of the larger areas of growth for us. And I mean not-for-profit had a good quarter as well. Government as well, but just not as out-sized as previous quarters. Kind of settling in at a more normalized growth rate now. And yes, within the vertical, I would say B2B we're seeing good strength fill in the construction, industrial supply side and some of those hard good markets that continue to perform well.
Gus Gala: Good. Thank you.
Operator: Thank you. Our next question comes from Mike Grondahl of Northland Securities. Your line is open.
Mike Grondahl: Yes. Thanks, guys. Just thinking about the accelerated investment in your go-to-market strategy. Can you highlight the size of your sales for today? It sounds like you'll add some technical sales or technical support this year and maybe how much bigger you think it will be at year-end in terms of people or percent?
Jeff Hack: Yeah. This is a great question. This is Jeff. So it's -- this is not step function change. We like the size and shape of our sales force. And just as a reminder, hunters who hunt new partnerships, farmers who work on penetrating the installed base of clients, we are always selectively adding in support of the opportunities we see and in particular, stepped up marketing efforts often produce increased ad backs. So obviously you want to make sure you've got the folks in place to feel those opportunities. But the biggest addition is really around the technical sales, and solutions folks who support the hunters and farmers. And important reminder for folks, we are talking about sophisticated middle market businesses in the verticals that we play in. And so, while the integrations themselves are relatively turnkey, the partners want a technology partner to help them understand how to make the end-to-end experience terrific. So that's really where the investment comes in. It's -- it is an augmentation. It is not a significant change in our approach or the shape or size for that matter.
Mike Grondahl: Got you. And then just secondly, in the EBITDA reconciliation, there is a little bit of restructuring costs. Does that relate to streamlining the government and utilities business vertical that you talked about or is that something else?
Glenn Renzulli: No. Actually, Mike, that's the main dollars there were some of the new executives that came in the latter part of '21. So there was some recruiting fees and things tied to on-boarding and then there was one off-boarding as well.
Mike Grondahl: Got it. Okay. Thanks, guys.
Operator: Thank you. Our next question comes from James Faucette of Morgan Stanley. Your line is open.
James Faucette: Thank you very much. Appreciate all your comments this morning. Wanted to dig in really quickly on a little bit more on the M&A particularly Vis -a - Vis your own stock, how you're trying to prioritize that. And then if you could give a little more color on the types of acquisition targets that you're looking at. Whether it be their exposures, growth rates, and how we should think about at least generically you expect those to contribute to the medium and long term EBITDA growth targets, etc. that you have.
Jeff Hack: Good morning, James. It's Jeff, again. Thanks. Great questions. So let me take that in parts. So first of all, what do we look for? That criteria has not changed. Anything that allows us to double-down in our existing verticals. As you all know, there are many sub-verticals, underneath is always first and foremost. Adjacent verticals is a very exciting place for us and a place where we're spending a lot of time. And in terms of what we're looking for there, obviously, proprietary technology capabilities when applicable and velocity is a perfect example of that, as well as extensions of our go-to-market in terms of the penetration of the end markets. The other part of your question had to do with how you pay for acquisitions. And I would remind folks, we are in a very healthy cash position, relatively low leverage. So first and foremost, obviously, cash for acquisitions make sense. And the key call out on equity is, generally speaking, and never say anything as an absolute. But generally speaking, equity for us is used around structuring a transaction not for financing purposes, for alignment of objectives very often that can be captured in earn-out provisions and the joint alignment of the incentives as opposed to looking at the stock price at any given point in time and using that as the calculus. Obviously, we do that as well but much more for alignment. So we feel very good about where we're looking, doing lots of interesting work on a bunch of fronts and the ability to pay for it. And sorry, James, the other part of your question had to do with growth rates, I think. And what I would observe there is we have done acquisitions of companies that grow faster than Paya as a whole and we have done acquisitions of businesses that do not grow faster than Paya as a whole. It all comes back to the capabilities and the go-to-market assets of those businesses and that they will be worth more as part of Paya than not as part of Paya. We are not buying in a vacuum, simply buying higher growth rate by paying big premiums to buy higher growth assets so they need to meet their own strategic criteria on their own merits.
James Faucette: Thanks a lot.
Operator: Thank you. Our next question comes from Josh Siegler of Cantor Fitzgerald. Please go ahead.
Josh Siegler: Hi. Good morning. Thanks for taking my question. My first question is on the ticket size. So obviously, it turned it up this year but do you expect the average ticket size to continue to increase as we move into 2022?
Glenn Renzulli: Josh, this is Glenn. Good question. Yeah look, I think we do think it will continue to increase just maybe not at the same level we saw in '21. So yes, still bullish on average ticket going up, but I think we're just definitely careful about the macro environment. And obviously good macro year in '21 that we want to just be careful that we're not just rolling forward all those expectations or rolling forward those results and what's going to happen in 2022. So we're being a little bit more tempered on the outlook tied to growth there.
Josh Siegler: Got it. That's helpful. And then on the outlook, what factors will have to occur during [Indiscernible] to push you towards the high end of your [Indiscernible] guidance?
Glenn Renzulli: It could -- kind of the opposite of what I just said. If either or the macro growth is at a larger clip or inflation, and/or inflation is at a higher clip, that -- or sustained right at a higher clip. I think those are things that could lead to outperformance, obviously. On the organic revenue side, we continue to work large partnerships that can really move the needle if we can get those one and integrated quickly. The timing of those is always the challenge, right? Trying to layer those in within a year, but healthy pipeline of both deals we're trying to win and deals we're trying to implement. So we try to take a balanced approach there in our outlook. But obviously, we ever can move things up as far as implementing, or when deals a little quicker, that could certainly help as well. And then obviously, inorganically, we've talked a lot about M&A. So that's also obviously not in our guidance can provide some upside.
Josh Siegler: Great. Thank you very much.
Operator: Thank you. Our next question comes from Joe Vafi of Canaccord Genuity. Your line is open.
Joseph Vafi: Good morning. This is [Indiscernible] Joel Vastly (ph) thanks for taking our questions. Jeff, you called out the ISC partnership in the Natpro prostate and Raymond vertical. Any additional color you can offer there. And more broadly, how do you feel about your pipeline in 2020, versus 2021 at the time of the year?
Jeff Hack: Yes great. Thank you it's Jeff, both are great questions. Not a lot to add on the new partnership other than the fact that large successful ISVs in those verticals continue to demonstrate their desire for partners like Paya, who bring them the deep technical expertise and the sales support and the marketing support and so on and so on. So these are not commodity payments processing deals. And obviously we love those end markets and very proud of the win. As it relates to the pipeline, the pipeline continues to broaden in most, if not all, areas. And that is a byproduct of focus, of increase marketing, talent and investment. And those are the kinds of investments that as you know, payoff over time. So long as those kinds of efforts continue to meet our return thresholds, you should expect us to continue to drive them enthusiastically.
Joseph Vafi: Great. And a question for you, Glenn, any comments on the cadence of the investments that you'll be making in 2022.
Glenn Renzulli: Good question. Look, I think from like an OPEX perspective and cost perspective, they get layered in pretty quickly. So you will see a jump up in expenses here in Q1 2022. So there's a little bit of build in the year, but for the most part, most of those expenses get layered in pretty early.
Joseph Vafi: Thank you.
Operator: [Operators Instructions] We have a follow-up question from Bob Napoli of William Blair. Your line is open.
Bob Napoli: Thank you. Just wanted to follow-up on the VelocIT acquisition. I mean, very small acquisition, but you seem very excited about it, I guess. At $7 million AP automation. I mean there's a lot of players in the AP space. And $7 million doesn't seem like a lot of money for acquiring the technology -- a good tech stack in that business. So what gives you the excitement? And I think, Glenn, you talked about a quick lift off, which would I guess would have to come from cross-selling. So what gives you the excitement on that acquisition, that small amount for a player in a very large market with lots of competition?
Jeff Hack: Hey Bob, it's Jeff. I think two of our items might have gotten confused in the comment. So let me just step back. So our AP part -- AP initiative is a partnership with Transcard.
Bob Napoli: Okay.
Jeff Hack: And so that obviously provides immediate capabilities for the cross-sell, as well as integrating the two offers throughout the course of the year. VelocIT with an acquisition of a very strong team and IP capability in the ERP sector, particularly Acumatica and certain instances of Sage, which is a nice complement with Paya, of course. So VelocIT is a great example of where a small strategic transaction, particularly if you have compatible cultures, can be a big winner. So the VelocIT team has developed very highly regarded capabilities in the Acumatica ecosystem. Features and solutions that we admire. And by the way would have built on our own. So in that regard, it's a great example of buy versus build. And terrific folks and in fact, one of the highest rated Acumatica ecosystem technologists that there are rankings around the stuff. As part of that acquisition as well. So that's why we are excited. We agree with your point that when deals get particularly smaller, you need to be very clear on why you're excited and suffice to say we are very excited by VelocIT, and in particular, the talent that came with that deal.
Bob Napoli: Thank you. And then maybe just a follow-up, I guess on the Transcard partnership and a little more color on exactly what you're doing with Transcard and what you think of that, the potential for that relationship?
Jeff Hack: Yes. So Bob, I think I mentioned this on an earlier question on the call. The first step as you would imagine, is our ability to immediately begin offering those capabilities to our existing immense installed base and over time, the intersection or integrations of features and functions to the extent they are important to these clients. I want to be consistent with all of you because we've been asked this question in prior periods. AR is a world unto itself; AP is a world unto itself. There are obviously opportunities to connect the two for incremental value-add and that is something we intend to pursue. But the beginning point is the incredible deep installed base of partnerships we have and remember, these are deep technical partnerships and we are a trusted partner to these people. So to be able to introduce the integrated AP capabilities from our position is very exciting to us. And I think as I mentioned earlier on the call, it's -- we don't ascribe individual projections to individual partnerships. We are very pleased, excited, we're off to a -- and obviously, it fits with the broader roadmap of broadening capabilities for our B2B end-markets.
Bob Napoli: Thank you. Appreciate it, Jeff.
Jeff Hack: Thanks, Bob.
Operator: Thank you. At this time, I would like to turn the call back over to CEO Jeff Hack for closing remarks. Sir?
Jeff Hack: Great. Thank you very much. Thanks everybody for being on this morning. We know it's a busy week for many of you. Suffice to say, we're very proud of how we closed out our first full year as a public company. And we are just as excited, I would say much more excited about what lies ahead for Paya. Most importantly, as we continue to execute against a clear set of strategic priorities and also deliver and report to all of you in a very transparent manner. So hope you all have a great day. Thanks so much for dialing in.
Operator: This concludes today's conference call and thank you for participating. You may now disconnect.